Operator: Good morning and welcome to Q3 Financial Results Conference Call. Throughout the call, all participants will be in a listen-only mode. And afterwards there will be a question-and-answer session. Today I am pleased to present Andrew Pardey. Please begin your meeting.
Andrew Pardey: Okay. Good morning, ladies and gentlemen. Just to a quick overview and then we’ll move out to questions. Q3 gold production was up 13% in the same period last year to just about 505,000 ounces and comparable with Q1 and Q2 production of 2015. It’s in line with our expectations and we have maintained a full year production guidance of 430,000 ounces to 440,000 ounces. As a highlight, during the period, we reached our priority target of zero lost time injuries at Sukari. We are particularly pleased to save our employees continue to develop a strong culture of safety in the workplace and this is all the more pleasing given Sukari’s position as a first modern gold mine in Asia. On the operations, three quarters of processing plant remains 7% above the 9.10 million ton per annum capacity. We continue to expect throughput to reach an annualized 11 million ton per annum rate in Q4 this year, with the potential thereafter for further increases as we continue optimizing the expanded plants. The focus of that price is to improve Q3 within premiums of the secondary crusher liners and screen configurations. There was also some scheduled work on the CIL circuit and this had a slight impact on the overall plant recovery which returned to 88% level after seeing 90% in the previous quarter. We expect to return towards the high levels during the fourth quarter as this work is completed. Underground mining rates increased again to an annualized rate of almost 1.25 million tons per annum or 25% above their base case forecast of 1 million tons per annum. Importantly, this productivity was achieved with average price of 6.5 grams per ton in line with the mining plan. The focus of the operation remains to consistently deliver ore at an average grade of at least 6 grams per ton. For the open pit, material movement was up 5% on the previous quarter and mining remains untracked towards the sustained delivery of reserve average grades from the fourth quarter onwards. Production rates are therefore expected to peak up in the final quarter of the year to reach and stabilize in the 450,000 to 500,000 ounce per annum range. Okay, the key free cash cost of production of $767 per an ounce was an increase on $706 per ounce in Q3. This is partly due to a reduction in ounces, but also due to a slight increase in the open pit mining cost. We expect these costs will rise again in the fourth quarter which together with the grade driven production increases means we’re well priced to come in below the $700 per ounce full year guidance. All-in sustaining costs with $919 per ounce remaining below the $950 per ounce guidance, although up from $853 an ounce in the previous quarter due to an increase in production cost. While we expect high sustaining capital cost expenditure in the fourth quarter, we continue to expect it to come in below the $950 per ounce full-year guidance for the all-in sustaining costs. Despite a 5% drop in the realized gold prices, Sukari’s strong operating margins translated into a third quarter EBITDA of $31 million. This reflected robust cash generation with a $16 million increase in cash and cash equivalents component during the quarter. The balance sheet remains healthy with no debt and $216 million of cash, bullion, gold receivables and liquid financial assets. Cash flow, even in the current suppressed gold price environment, we continue to build cash after self-financing process, standout dividend return and expiration led long-term growth strategy. Sukari’s outstanding cash flow returns are expected to over a minimum 20 year mine life, allowing Centamin to stand out as a long life and low cost producer. This expectation was further supported during the quarter as we announced an update of reserve estimate for the operation. The $8.3 million ounce open pit reserve increased net of mining depletion by half a million ounces over the previous estimate, due to a combination of a reduction in the recent fuel prices and also the continued drilling from the underground. The underground resource and reserves continues to grow and with increasing development in drilling, we continue to expect further material increases over the coming years as we progress along the strike and depths in the undergrounds. On the expiration side, results from our expiration and between Faso and Cote d’Ivoire continue to encourage with momentum building around the numerous prospects within our expensive Centamin package. Some of the recent drilling results are outlined in today's report and we’ll continue to update the market over the coming quarters on progress towards the ultimate aim of establishing a low-cost project in this region. That’s the brief overall summary. With that, I'd like to hand back over to the operator and open the lineup for questions. Thank You.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Brock Salier from GMP. Please go ahead with your question.
Brock Salier: Good morning. On the underground, I know, you've given some guidance there for the one million ton as a base case, but you’re pretty consistently hitting this 1.2 million ton, right. Is there any view on the sustainability of that in the long-term or the desire to sustain at these levels or do you just kind of leave it as one million base cases and see what happens above that?
Andrew Pardey: The best thing to do Brock, is leave it as one million ton per annum base case. We have some of the decline developments for both one and we had decline, which we scheduled as waste that’s been going for the mineralized poll free, so that has lifted the development over tons.
Brock Salier: Yeah, understood and just coming back to your comments on your cash consistently rising there, can you give me any sort of - well, I know there’s no answer until next year, but can you give any kind of view on willingness to tie a policy dividends as a one-off if you don't have any development projects and strike me if there’s anything in the pipeline for next year? Are you willing to start distributing that cash above the 15% to 30% guidance?
Andrew Pardey: That’s a range that we’ve set to the market and for the time being that is the range we will see to 15% to 30% range for the dividend payments.
Brock Salier: Understood, thanks very much.
Operator: Thank you. Our next question comes from the line of James Beale from Bank of America Merrill Lynch. Please go ahead with your question.
James Beale: Hi. Just a quick one in sustaining CapEx, you reiterated 70 million with your Q2 results for the full year, but it seems like your run-rate’s been below that. Could you just comment on what you think the full-year number is going to look like and what items are being deferred into next year?
Andrew Pardey: Yeah, I think that we have deferred items relating to the rebuilt of equipment. We have not met the machine usage hours and therefore we were able to move into a lighter period into the fourth quarter and over into next year. By the way it doesn’t change our profile looking forward, but just pushes out the hours as - people will come up as the hours come up. We are looking to reduce that 70 million. I think we are looking at between 40 million and 50 million at this point, where will come in for the year.
James Beale: Okay. Thanks for that. And then just a sort of follow-up really on Brock’s question, which is looking at the underground grades obviously year-to-date, you're at 6.26 grams per ton. Next year's guidance is for 6 grams. Do we think about the grade coming down early next year?
Andrew Pardey: Yes, you should. With the models, you should work on the 6 grams per ton.
James Beale: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Yen Voo from Nomura. Please go ahead with your question.
Yen Voo: Hi, good morning. My question is on the open pit. You have previously guided at the Capital Markets Day on the 66 million ton of material movements for this year, what’s the expectations on lower open pit mine costs in Q4 from the high number that we’ve just in Q3. Are you still expecting the 66 million tons of material movement? And if it’s lower, that could affect material movements for next year?
Andrew Pardey: Material movements for the year is going to come below 66 million tons, principally because where the CapEx strategy is now, we had some issues from the quality of the ammonium nitrate which is why the digging rates down. That’s been fixed. We both have had - we’ve had to increases high usage so we had to take trucks out of production while we were pricing. That was a function of the types of tires that we have. We had a combination of radials and what we call rag tires. We’ve run out of all those rag tires and we are now running on the Michelin where we are seeing tire life in excess of 8,000 hours. So production rate will increase and the operating costs will reduce.
Yen Voo: Okay. And is that going to affect any of the material movement for next year? We still have a chance 66?
Andrew Pardey: No, materials - next year we will be moving 66 million tons.
Yen Voo: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Richard Hatch from RBC. Please go ahead with your question.
Richard Hatch: Thanks and good morning. Just a couple and the first one follow-up on your sustaining CapEx comment, so does that mean we should build an additional 20 million of sustained CapEx for next year for that deferred this year and then secondly just on the fuel supply case, I saw in The Financial Times a couple days ago that the Minister for Petroleum and Minerals Resources said Egyptian government is looking to cut fuel subsidies. Just wondering how that ties with you sort of coming in the release that you don’t expect an international fuel price to be a reasonable outcome. Thanks.
Andrew Pardey: We are seeing international fuel prices.
Richard Hatch: I'm aware of that. Yeah, I just wonder whether that means - you mentioned that you wish to challenge international payments, isn’t that right? You’re also pursuing a -
Andrew Pardey: Richard it’s Andy here. The core case in relation to the fuel subsidy going, there’s a carrying value in terms of the value of the subsidy that we effectively had removed since the beginning of 2012. Well, what you’ve seen with the increase in the fuel prices, if you like, the subsidized price in Egypt has been coming up as that effectively being removed in the subsidy and then at the same time, of course, the international price, which we've been paying since the beginning of 2012 has come to an end. So in effect, the value of the subsidy quarter-on-quarter has been certainly reducing as the differential between the fuel prices has narrowed. So that’s the effect on the value of decline. It’s been increasing at a lower rate effectively. The claim is still there and there’s some discussions with government more than anything.
Richard Hatch: Okay. Thanks.
Andrew Pardey: Then just on the capital, no, we do put foresee any additional amount for next year. Next year we are looking at around $70 million to $80 million, as you said, at the Capital Markets Day, we are still looking at those rates. The deferment was delay basically, it’s a permanent delay. Once the machines come through the hours, we will do the rebuild. It’s just they’re not at those hours and therefore all machines, machinery built are moving forward at the timeline.
Richard Hatch: Okay. Thanks
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [indiscernible]. Please go ahead with your question.
Unidentified Analyst: Good morning, everyone. Just a quick follow up there, maybe I didn’t understand it quite right, can you give us a bit of sense on the probation of the grade in the open pit from here on now, I think it was a bit - the quarter was a bit light versus what we’re expecting at the capital markets and I was wondering what confidence you have in 4Q of next year and how we should be thinking about the development there?
Andrew Pardey: Well, the development is pretty close to what we had in the Capital Markets Day and as we’ve always said, Q4 would be the - when the grades in the open pit will return to the reserve average grade and in the mining schedule moving forward again with the schedule it’s the same to what we’ve had in the Capital Markets Day. So you will see reserve average grade from the open pit moving forward.
Unidentified Analyst: And that’s 1.05 or 1.0, remind me?
Andrew Pardey: 1.05, 1.03.
Unidentified Analyst: And that’s including 4Q, so Q4 is where we should put 1.03?
Andrew Pardey: Correct.
Unidentified Analyst: Wonderful, thank you very much. And in terms of the - just a follow up on Richard’s question, in terms of the fuel discussions, say, with Egyptian government, do you have anything on your balance sheet for that or how much is the overall sum in the best case scenario?
Pierre Louw: See, Robert, it’s through, the P&L its expense because of full international price on a cash flow basis and then its expense through the P&L, so we don’t carry anything forward on the balance sheet. It’s broken out the value of it, but we pay, effectively it’s broken out in the financial statements. You can see the exceptional item there and it came into the value of that exceptional item since the beginning of 2012.
Unidentified Analyst: Okay. And you have the cumulative value as well, because I didn’t fine the cumulative value, that was my question really, what is the cumulative value?
Pierre Louw: It’s in note four, I think the number is about $197 -
Andrew Pardey: It’s $198 million the cumulative number at the moment. For the quarter, it’s about 32, year-to-date 68.
Unidentified Analyst: Wonderful! Thank you very much.
Andrew Pardey: Thanks, Robert
Operator: Thank you. Our next question comes from the line of Rita Guindy from CI Capital. Please go ahead you’re your question.
Rita Guindy: Good morning. With regards to costs, I feel meeting your all-in sustaining costs charges of $950, but that costs up to $700 or below $700. That means 4Q should be below $620, which is the reduction of $150 Q-on-Q. I just wanted you to please shed some light on how exactly or the measures you will take to reduce this? I know you expect 4Q production to be higher and that cost should normalize from the high levels of 3Q, but do you think you will be able to meet the $620 cost target for 4Q to meet the full-year?
Andrew Pardey: Yeah, your calculations are correct. With the increased production in quarter four, we expect the cash costs to be below $650 an ounce that we’ve been in Q3 specifically in the mining area. Those areas have been rectified and we should come back on normal costs right in that area. We are also looking at the all-in sustaining number of below $950 an ounce.
Rita Guindy: Okay. So you think it’s still realizable?
Andrew Pardey: Yeah, we were coming below $950 an ounce in all-in sustaining and our cash cost for the year will be around $700 just below $700 an ounce on the calculations that we have done.
Rita Guindy: Okay. Thank you.
Operator: Thank you. We have a follow-up question from line of Rob Monty from [indiscernible]. Please go ahead you’re your question.
Unidentified Analyst: Yeah, sorry, just to be a 100% sure about the grade from 1.03, 1.05 grades that’s in ore process I assume, not more mine that’s processed from the open pit?
A - Andrew Pardey: Correct Robert.
Unidentified Analyst: Wonderful! Thank you very much
Operator: Thanks you and there appears to be no further questions. I return the conference to you.
Andrew Pardey: Great. Thank you much everybody for joining on the call and speak to you next time. Thanks very much.